Operator: Greetings. And welcome to the Vishay Intertechnology First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Peter Henrici, Investor Relations. Thank you sir. You may begin. 
Peter Henrici: Thank you, Christine. Good morning and welcome to Vishay Intertechnology's first quarter 2023 earnings conference call. I am joined today by Joel Smejkal, our President and Chief Executive Officer; and by Lori Lipcaman, our Chief Financial Officer. This morning we reported results for our first quarter. A copy of our earnings release is available in the Investor Relations section of our website at ir.vishay.com. This call is being broadcast live over the web and can be accessed through our website. In addition today's call is being recorded and will be available via replay on our website. During the call, we will be referring to a slide presentation, which we also posted at ir.vishay.com. You should be aware that in today's conference call we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ please see today's press release and Vishay's Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. We are including information in our press release and on this conference call on various GAAP and non-GAAP measures. We have included a full GAAP to non-GAAP reconciliation in our press release as well as in the presentation posted on ir.vishay.com, which we believe you will find useful when comparing our GAAP and non-GAAP results. We use non-GAAP measures because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures. Now I turn the call over to President and Chief Executive Officer, Joel Smejkal. 
Joel Smejkal: Thank you, Peter. Good morning, everyone. Welcome to our first quarter conference call. I'll start my remarks on slide 3 of the presentation deck. Vishay delivered strong first quarter results with revenue of $871 million above our high end of the guidance range. We saw continued positive momentum in our sales to automotive, solid demand in industrial and all-time high sales of specialty products to both medical and aerospace defense market segments. Some details now about these end markets. Automotive, which represents 33% of our total revenue grew 6.2% versus the fourth quarter and 9.6% compared to the first quarter of 2022. OEMs in all regions replenished vehicle inventories now that the supply chain constraints are improving. We also saw continued demand for products in support of more electronic content, ADAS features and greater electric vehicle production. Industrial. This is our largest segment at 37% of total revenues. Sales here were flat versus the fourth quarter and below last year's first quarter. We saw a strong pull-through in Europe where we are supporting manufacturing automation and smart infrastructure plus renewable energy collection and transmission. Medical. Medical represents 5% of total revenues. This segment grew 21.4% over the fourth quarter and we're at an all-time high in Q1 and it is showing increasing promise, particularly in the areas of medical diagnostic equipment and implantable devices. Compared to the first quarter of 2022, medical revenues grew 29.6%. Aerospace and defense also at an all-time high in Q1, on growth of 10.9% over the fourth quarter and 33.6% over the first quarter last year. Demand for this market which constitutes 7% of total revenue is being driven by customers that are supporting many different applications such as advanced radar systems, missile guidance systems for the U.S. government and for its allies. We are the leader in supplying passive components on the U.S. military qualified parts list.  Looking at the chart in the middle of the slide displays revenue mix by sales channel. OEM revenues increased 6.1% driven by demand from automotive customers plus our industrial strategic accounts. Distribution revenues were flat. Quarter-over-quarter, however, POS did grow 6.2%, which was led by Europe. There was a modest growth in the Americas, and slightly lower POS in Asia. Distributor inventory at quarter end remained at 19 weeks, with an increase in value. EMS revenues declined 7.4% due to some inventory rebalancing; particularly for consumer, computer and telecom markets although; automotive, industrial and aerospace defense as well medical the demand was strong. At the same time, inside Vishay, we collectively hit the ground running to make the needed changes to make full advantage of these mega trends in connectivity, mobility and sustainability that are creating new opportunities in our end-markets to drive growth and optimize our returns. Across all employees in all locations we begin to shift our mindset to, think customer first. We are keeping our operational quality and product reliability disciplines, but we are placing a priority on having a business-minded focus in everything we do. A greater support to; customer design-ins, aggregating customer demand, a multiyear capacity planning approach, setting new business processes and fostering a change of culture all of which contribute to developing ambitious growth plans that are grounded in market-based intelligence. In meeting with distributors OEMs and EMS, initially many have said, Vishay you took your limited capacity and went off to support other customers or other channels. They have designed in Vishay products but could not get delivery to support their production. I've presented our plans to them to improve our customer engagement, improve our customer service and prepare our capacity expansions to support their demand. Now they're expressing heightened interest in Vishay, to bring this new approach to them quickly. Inside Vishay not only our senior leaders but all of our employees, are energetically embracing this change, accepting the challenge to figure out how to improve their operations, to how to improve their customer-facing activities, defining market opportunities and developing strategic plans to grow and the tactical steps to execute the plan. This way of change, the new era of Vishay, is spreading quickly throughout the organization. I want to specifically thank the Vishay employees, as they join me in this company-wide mission. Their steadfast commitment to excellence and now speed at Vishay is very much appreciated. On last quarter's call I shared the broad outlines of our three-year plan, to drive greater growth and returns. 2023 continues to be a staging year, to lay the foundation for Vishay to realize our full potential. We're busy implementing a number of initiatives, addressing the needed change in all customer-facing aspects of our business. I'll give you a progress update on these initiatives, after Lori has shared our financial results for the first quarter. Lori?
Lori Lipcaman: Thank you, Joel. Good morning, everyone. I'll start my review of the first quarter results on slide 4. Revenues for the fourth quarter were $871.0 million above the high-end of our guidance. We benefited $15.4 million from exchange rates. Compared to the fourth quarter, revenues increased 1.8%, reflecting a 1.2% increase in pricing and a 1.5% decline in volume. Compared to the first quarter last year, revenues grew 2.0%, reflecting higher pricing that more than offset a 1.4% decline in volumes. At quarter end book-to-bill for consolidated Vishay was 0.84 and backlog was 7.5 months, compared to 8.0 months at the end of the prior quarter as lease time started coming down. We returned a total of $34.2 million to stockholders, comprised of dividends of $14.0 million and stock repurchases of $20.2 million. The next slide page 5, present income statement highlights. Gross profit was $278.7 million for a margin of 32.0%, compared to 29.1% for the fourth quarter and substantially above our forecast of a margin in the range of 28%. Compared to the fourth quarter margin increased on pricing, lower material and freight costs and improved manufacturing efficiencies and yields, partially offset by lower volume and inflationary labor and material costs. Compared to our guidance gross margin profits reflect the flow-through of better-than-expected pricing for MOSFETs lower-than-planned energy and logistics cost and higher-than-expected fixed cost absorption related to an inventory build. SG&A expenses were $120.1 million, $6.3 million higher than the $113.8 million, we reported for the fourth quarter, primarily reflecting annual salary increases and an accrual for equity incentive compensation. Operating income increased $23.3 million versus the fourth quarter on higher gross profit offset partially by higher operating expenses. Operating income increased $12.3 million or 8.4% over the first quarter of 2022. Operating margin was 18.2% compared to 15.8% for the fourth quarter and 17.1% for the first quarter of 2022. EBITDA was $199.3 million for an EBITDA margin of 22.9%. Our normalized effective tax rate was 28.4% for the quarter, the same as our GAAP effective tax rate this quarter. EPS was $0.79 per share compared to $0.69 per share for the fourth quarter last year on an adjusted basis. On slide 6 we present cash conversion cycle metrics. DSOs were 45 days unchanged from the fourth quarter and DPOs were 32 days. Inventory was at $656.7 million at quarter end, a 6.1% increase compared to $618.9 million as of December 31, 2022 as we are ramping up in support of our resistors capacity expansion in Mexico and some customer projects in our capacitor segment. Corresponding to the increase in inventory levels inventory days outstanding were 98 days compared to 93 days for the fourth quarter bringing the cash conversion cycle for the first quarter to 111 days. Turning to slide 7. You can see that the cash flow from operations of $129.9 million for the first quarter was lower than the fourth quarter, primarily reflecting the increase in inventory. Total CapEx was $45.6 million for the quarter with $30.2 million of the total invested in capacity expansion compared to $23.9 million last year, an increase of 26.4%. On a trailing 12-month basis, total CapEx was 9.5% of revenue compared to 6.7% for the same period last year. Free cash flow for the quarter was 800 -- excuse me $84.6 million compared to $14.1 million for the fourth quarter and a negative $2.3 million last year. Stockholder returns for the first quarter amounted to $34.2 million, consisting of $14.0 million for quarterly dividends and $20.2 million for stock repurchases. We repurchased 0.9 million shares at an average price of $22.02 per share during the quarter. Total liquidity was $1.7 billion, including cash and short-term investments of $1 billion and availability on a revolving credit facility of $642.2 million at quarter end. As mentioned on our earnings call, we use the revolver from time to time to meet short-term financing needs. On Monday, we entered into an amendment and extension of our $750 million revolving credit facility to May 2028 from June 2024. This amendment and extension provides us with more than ample financial and operating flexibility to execute our plans for growth. Turning to slide 8 for our guidance. For the second quarter of 2023, revenues are expected to be between $860 million and $900 million. Gross margin is expected to be in the range of 29.0% plus or minus 50 basis points as the capitalized cost of the inventory build during the first quarter are worked down. SG&A expenses are expected to be between $123 million and $127 million for the quarter and still between $475 million and $485 million for the full year at current exchange rates. For 2023, we expect a normalized effective tax rate of approximately 28%. Finally, we remain committed to distributing at least 70% of our free cash flow to stockholders in the form of dividends and stock repurchases in accordance with our stockholder return policy. For 2023, we expect to return at least $100 million. I'll now turn the call back to Joel. 
Joel Smejkal: Thank you, Lori. Let's go to slide 9. On our call last February, I introduced our near-term initiatives that we are advancing during 2023 as we drive revenue growth and margin expansion. We have identified 30 key product lines for growth across each business segment, most of which serve multiple market segments multiple applications and business channels that are aligned with the megatrends of connectivity, mobility and sustainability. To increase capacity to support them, and gain share of the highest growth and highest return opportunities, we are investing in capital expansion for a total CapEx of approximately $385 million this year $60 million more than 2022. Approximately two-thirds of this CapEx, is being spent on expansion projects.  This continues the increase in CapEx that took place last year when we spent an additional $107 million, nearly all of which was earmarked for capacity expansion projects. That additional investment, will land throughout the quarters of 2023 and 2024, bringing down our lead times, and giving us incremental capacity to support our 30 key product lines. We are focused this year on investing in capacity expansion projects outside of China. Our customers tell us that they -- the value that they see in Vishay, being regionally located, the manufacturing footprint as they pursue onshoring or near-shoring efforts. Some of this capacity expansion is already allocated to our established customers, especially for MOSFETs and resistors, which still have long lead times. Some of it is strategically reserved, to serve new and emerging customers that are leaders in driving megatrend-related demand. This quarter, we put capital to work in a few ways: in fabs located in Germany, Taiwan and Italy geared primarily toward growth segments of automotive and industrial for our MOSFETs Diodes and Opto products. New factories in Mexico, for power metal strip resistors and power inductors. Custom magnetics is another part of the inductor portfolio that we invest in. In the Dominican Republic, we have increased the floor space by 50%, to better serve our aerospace defense and medical customers. This increases our overall custom magnetic capacity and floor space by 6%. At the same time, we are identifying external sources of commodity product production, which helps us create room for our higher growth and higher-margin opportunity product in 2024 and beyond. At this point, we are actively engaged in developing partnerships with more than 20 subcontractors of various sizes. We have qualified one of these, and we will start shipping product to customers in Q3 of 2023. I also mentioned that we are going to identify additional semiconductor foundries, to alleviate the most constrained product lines. We are moving quickly on this front, and are in advanced discussions with one new partner. We are also investing internally in engineering talent to enhance customer engagement and advanced innovation. During the quarter, we placed additional FAEs in the Americas, Europe and Asia. We hired silicon carbide and GaN engineers to support R&D projects and to support customer-facing business development activity. Last quarter, I talked about our expanding strategy to promote our broad product portfolio of discrete semiconductors and passives with solution selling. As a reminder, Vishay's semiconductors and passives can populate 80% to 100% of the components on the circuit board, for many power applications. We are introducing Vishay reference designs, to fully leverage Vishay's broad product portfolio. Customer engineers prefer suppliers who can provide support with solutions. We are building these reference boards, for the engineers to be able to test the Vishay solutions. These boards will be available in the third quarter of this year. We are also setting up an application lab, to support customer applications in the e-mobility space. With respect to MaxPower, and our development of silicon carbide technology, the 1200-volt planner technology MOSFET is progressing according to schedule. We plan to have samples available to customers in the third quarter. We continue to work on the 650-volt planner technology MOSFET. Our development of the 1200-volt trench technology, is also moving forward and we have completed the process review and alignment, with our foundry partners. We made progress during this quarter, designing products to support automotive and industrial applications. Finally, the last initiative, instituting organizational and cultural change at Vishay is from my perspective, very critical. We are fostering collaboration internally and externally pushing decision-making down the organization and empowering risk-taking, all to foster a mindset of taking -- of thinking about the customer first, in everything we do. To ensure accountability and reward change, we designed a new long-term incentive plan that aligns the performance of key employees, with company growth and profitability targets. The Board approved the plan on March 24, and it now goes before the shareholders at our upcoming annual meeting on May 23. I can tell you the perceptions about Vishay are changing quickly both internally and externally. We are moving fast and deliberately. We're making good progress on our near-term initiatives and setting the stage for substantial growth. Turning to Slide 10 now. I would like to remind you about the goals we have set for 2023. We are on track to achieve these goals, moving ahead according to our original plans. I mentioned earlier that we are in discussion with over 20 subcontractors and we still expect to have qualified and signed agreements with a number of them by the end of the year. We also have and we'll complete our evaluation on where to build Vishay's next manufacturing facility. We are putting the finishing touches on our go-to-market strategies for each of the 30 new product lines by region and end market. Our development of silicon carbide 600-volt and 1200-volt planner technology MOSFET is progressing well. Finally, we remain committed to holding an Analyst Day in early 2024. At which time, we'll share with you our three-year business plan and targets for revenue growth, profitability and returns on invested capital. In closing, I am pleased by the progress we are making and the pace of change. We are moving quickly in our day-to-day business practices, in our mindset to put the customer first and in our ambitions for growth to capture the opportunities created by the megatrends of connectivity, mobility and sustainability. We have the right people. We have the right products and now we have the passion to do more and grow. We are now ready to begin the question-and-answer session.
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions] Thank you. Our first question comes from the line of Ruplu Bhattacharya with Bank of America. Please proceed with your question.
Ruplu Bhattacharya: Hi. Thanks for taking my questions. Joel, fiscal 2Q is typically your strongest revenue growth quarter for the year, yet you're guiding just 1% sequential growth. Why is that given if this backlog is still high at 7.5 months? So why is the sequential growth just 1%? And then last quarter you talked about the beginning of a channel inventory correction. Can you update us on what you're seeing with respect to that in terms of the channel and how they're taking inventory? 
Joel Smejkal: Okay. Ruplu, thank you for the question. The first question about Q2 being up about 1%. We look at the contract business we have with many automotives. We see Q2 relatively flat versus Q1 from the automotive schedule agreements that we see. The medical and the military continues to show strength in Q2. So that's positive. We still look at the demand in the industrial segment, the inventory that's at the distributors. I'll kind of answer your second question combination here. The inventory – the health of our inventory at the distributors is quite good. I've met with the distributors, many of them and talk to about the health of inventory. The POS was a bit better than we expected. We did ship product to them. The inventory has been about 19 weeks and it stays at 19 weeks. We think that it will reduce somewhat in Q2, but the health of our inventory is good. The inventory that the customer has is primarily for MRP programs are available to sell – as the distributor is not so high. So overall, I think the inventory will be stable to slightly down. Automotive driving it, EMS looking at their inventory that they have in the queue will also impact the second quarter sales because EMS continues to use their local inventory before they draw in more for us.
Ruplu Bhattacharya: Okay. Thanks for the details there. If I can ask a follow-up on the gross margin performance. So in 1Q, you had very strong gross margins of 32% on say 15 million, 16 million sequential growth in revenues. So what drove the outperformance versus your expectation? I think you had guided 28%. So it was 400 bps above your guidance. And then as we look into the second quarter, also if you can just give us your thoughts on gross margins because on $10 million higher revenue at the midpoint you're guiding for 300 million – sorry 300 bps sequential reduction. So just trying to understand the gross margin dynamics between 4Q 1Q and 2Q.
Lori Lipcaman: Ruplu, this is Lori. Perhaps I could help you with that question. So when we were giving guidance for the gross margin at the 28%, we had less pricing pressure than expected during Q1. We had lower energy costs related to a government subsidy and there were things that will not be able to repeat next year – next quarter. So we now expect more favorable margins with a floor of about 29% for the year. But in the second half we expect to have lower gross margins than in the first half due to some increases in labor that are still coming and some additional inflationary costs.
Ruplu Bhattacharya: Okay. Well, thanks for the detail. If I can sneak one more in. Joel, in your initiatives you talked about filling gaps in technology and gap in market coverage. If you could just elaborate on those initiatives? I mean where do you think you would want to increase your market coverage? And what type of technology do you think Vishay laps today and would like to expand on?
Joel Smejkal: The gap that we're working on quite aggressively now is being able to bring our silicon carbide technology forward. This we see as a first topic of conversation at customer engineers in high-voltage programs. It's very important with the samples that we intend to have available in the third quarter is going to help us. We will be able to get in those early discussions with engineers and then bring in the rest of the portfolio. It's really an advantage of Vishay the semiconductor versus passive holding of products. So filling that high-voltage wideband gap semiconductor space is a top priority. That's one. We also look at other areas like circuit protection or sensors that we do keep our eye on to further out on our portfolio. These come from conversations with customers. They see our wide portfolio and they ask Vishay can you also consider other technologies. So those are a few.
Ruplu Bhattacharya: Thanks for all the details and congrats on the strong execution in a tough market.
Joel Smejkal: Thank you very much. Appreciate your questions.
Operator: Our next question comes from the line of Matt Sheerin with Stifel. Please proceed with your question.
Matt Sheerin: Yes. Thank you. I have a couple of quick questions on some of the metrics. Could you give us the book-to-bill by channel OEM and distribution? And then also on ASP trends year-over-year and quarter on -- quarter-over-quarter by segment?
Joel Smejkal: I'll comment on the ASP. The ASP we have a large portion of our business which is in contracts -- customer contracts. These are quite firm for the year. Annual agreements with automotive accounts large OEMs, so that's pretty solid. We see the ASP quite stable there. ASP in the channel of distribution with some commodity products being on the shelf and the distributor having likely more inventory from a competitor than they do of Vishay, that will come down to someone making a price move and trying to move that inventory. At this moment, we do see a couple items maybe in diodes or in capacitors that might see a little price pressure. But generally we see it holding up okay. When we look at the constrained products like power semiconductors or the military products the pricing will be firm the -- could be some price increases as well depending on the product and the inflationary costs that go with it. Overall, I see pricing -- stable. Yes?
Matt Sheerin: How is the MOSFET pricing holding up?
Joel Smejkal: The MOSFET pricing is on the automotive is holding up quite well. The LVM, at this point is holding up well. We thought that we would see some price pressure earlier in Q1. We didn't see it. It's been about assurance of supply. MOSFETs continues to be -- the power semiconductors continue to be the number one constrained item out there when we talk to customers. 
Matt Sheerin: Okay. And then, maybe while you wait for the book-to-bill. Joel just a bigger picture question. The fundamentals at Vishay seemed to be holding up very well and much better than if you look at some of the broader semiconductor suppliers and passive suppliers out there. And so what are your thoughts on the cycle? Typically in past cycles Vishay, after these very big runs and margin expansion, there's a drop down both in margins and revenue. And we haven't really seen that in a big way yet. And it sounds like you still feel good about your backlog in your long-term prospects. So, what are your thoughts on the cycle and how Vishay gets through this one may be different than others?
Joel Smejkal: Okay. That's -- the markets are changing. There used to be quite defined lines between automotive and industrial and telecom and computer. The markets are now starting to blend together, because of the technology that's moving into the automobile and the technology that's moving into industrial automation. So we look at Vishay's segments, we look at automotive not only car count but we look at the electronic content and the ADAS features that are coming. It's quite positive with the product portfolio that we have, many automotive grade qualified products. We look at industrial. There's industrial programs always looking towards better energy collection and energy distribution. Transmission lines have to be rebuilt. The grid is far from being in a suitable position to be able to provide us the electricity. We're all going to need for EV and other electric battery-powered products. So there's quite a promise there in that segment. Medical for Vishay, growing. The medical customers that we're talking to -- there's a lot of new activity and exciting programs coming forward that were delayed quite a bit because of the pandemic. So we're seeing that now building momentum. And then military defense, we all know what's happening in the world with the Ukraine and many countries are buying their own defense spending and ways to protect themselves. So you -- Matt when you put those four markets together, it's nearly 85% of Vishay. Automotive, industrial, medical and military. So they're quite solid market segments, but they're also bringing in contributions from computer and telecom to support those segments. So we're quite happy with the development of technology where it's going and we definitely want to position Vishay to be able to enjoy more of it.
Matt Sheerin: Yeah. Okay, great. And then on gross margin, I think Lori you said that you expect gross margin to hold up around 29% for the year. That implies only modest downtick in the second half. So could you comment on the drivers behind that is just pricing? And just like you said these end markets holding up fairly well, so that margins won't be down that much?
Joel Smejkal: We see that. We see the market is holding up well, having military and medical as growth markets with the percentages that I've changed is good. Vishay's QPL on military is the strongest, the biggest. We continue to put capacity in place to support that and that's a good margin business. We see it holding up at 29%. So we're pretty confident with that 29% because of the segments as we support. Matt, back to your backlog question that I didn't answer. We -- you look at the book-to-bill and we're adding capacity every quarter. So the book-to-bill is coming down because EMS customers, distributor customers, they're adjusting based on our lead times coming in. They may have had backlog in our system that was out into 2024 deliveries or maybe into 2025. So we're starting to see a more normalization of what their order patent should be not losing share but just adjusting based on our ability to deliver sooner. Lori, you have the book-to-bill here. You want to go ahead and give that to Matt?
Lori Lipcaman: End of the quarter, the book-to-bill for MOSFET is 0.95, diodes 0.71, OPTO 0.72, resistors 0.88, Inductors 1.04 and capacitors 0.70.
Matt Sheerin: Super helpful. Thanks so much for your answers, Joel and Lori. Appreciate it.
Joel Smejkal: Thanks, Matt. Have a good day.
Operator: Our next question comes from the line of Joshua Buchalter with TD Cowen. Please proceed with your question.
Joshua Buchalter: Hey, guys, thanks for taking my question. I apologize for hopping on this, but I did want to ask about inventory levels in the channel again. It sounds like a POS and sell-through are coming in better than expected and you mentioned you do want to take levels in the channel in the second quarter. Would you expect to be I guess at healthy levels exiting the second quarter? And then how should we think about visibility into the second half as levels normalize should we expect a roughly seasonal second half of the year as you stand now? And then I have a follow-up. Thank you.
Joel Smejkal: Yeah, the inventory meeting with the distributors, Vishay is not on the heat map. Generally speaking our inventory is not in a slow and idle position. The inventory is healthy. It's supporting many of their program accounts to say it's going to decline. The POS is better than what we expected in Q1. It's holding up. We see that Asia POS should improve in Q2 and Q3 second half of the year. So generally, I think the inventory, there may be a slight reduction, but it won't be significant, because the product that we have on the shelf is good. It's healthy. The distributors like the mix. They say it's a good product. The second part of your question, help me remember? 
Joshua Buchalter: Visibility into the second half. And I guess as we see it now, it's roughly seasonal the right way to think about it.
Joel Smejkal: Seasonal, but automotive saying that they still are catching up in vehicle production. And electronics, the features that are coming in the cars continues to expand. New model years will be coming out in the second half again. So, automotive looks to be a bit better in the second half than the first. Industrial, we continue to see programs coming forward on electrical grid improvements and we're talking to many large OEMs about being involved in those projects. So -- the backlog I think we're confident in the backlog. We've seen the book-to-bill adjustment over the last couple of quarters. It's been below one, where people have been canceling not near-term, but they've been canceling further out orders. So, I think second half will be seasonal to a little better.
Joshua Buchalter: I appreciate all the color there. And then for my follow-up, you talked a lot about capacity expansion which totally makes sense, given the shortages in the past few years and the clear undersupply that you're seeing. The question we get asked a lot from investors is, given there are so many smaller facilities, are there opportunities to consolidate some of these sites that you no longer investing in as you rationalize the overall footprint, while also still expanding your capacity? Just being curious, how you're thinking about that. Thank you
Joel Smejkal: Yes. We're always looking at the sites and the demand of the product coming from that site, expansion is quite important now and choosing the right locations for Vishay to be regionally located plus cost competitive is very important. Consolidation, we have it on the radar. We always look. But at this point, nothing definitive because the demand is quite strong across all of the product lines, no chance at this point to slow a factory down and start to move it somewhere else, because the demand is quite good and the backlog at 7.5 months is pretty broad across most of the product lines. We'll continue to take a look at it though.
Joshua Buchalter: Understood. Thank you.
Joel Smejkal: Thank you, Josh.
Operator: Thank you. We have no further questions at this time. Mr. Smejkal, I would now like to turn the floor back over to you for closing comments.
Joel Smejkal: Okay. Thank you, very much. Again, everyone, thank you for joining us on our first quarter earnings call. I look forward to sharing our results of the second quarter and our progress towards reaching our goals for 2023 with you in August. Thank you very much. Have a good day.